Operator: Good morning. My name is Alisa, and I will be your conference facilitator today. At this time, I would like to welcome everyone to the American Axle & Manufacturing’s Second Quarter 2020 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. [Operator Instructions] As a reminder, today's call is being recorded. I would now like to turn the call over to Mr. Jason Parsons, Director of Investor Relations. Please go ahead, Mr. Parsons.
Jason Parsons: Thank you, Alisa, and good morning, I would like to welcome everyone who is joining us on AAM's second quarter earnings call. Earlier this morning, we released our second quarter 2020 earnings announcement. You can access this announcement on the Investor Relations page of our website, www.aam.com, and through the PR newswire services. You can also find supplemental slides for this conference call on the Investors page of our website as well. To listen to a replay of this call, you can dial 1-877-344-7529, replay access code 10144277. This replay will be available beginning at 1:00 PM today till 11:59 PM Eastern Time August 7th. Before we begin, I would like to remind everyone that the matters discussed in this call may contain comments and forward-looking statements are subject to risks and uncertainties, which cannot be predicted or quantified and which may cause future activities and results of operations to differ materially from those discussed. For additional information, we ask you to refer to our filings with the Securities and Exchange Commission. Also, during this call, we may refer to certain non-GAAP financial measures. Information regarding these non-GAAP measures, as well as the reconciliation of these non-GAAP measures to get financial information is available on our website. With that let me turn things over to AAM's Chairman and CEO, David Dauch.
David Dauch: Thank you, Jason. And good morning everyone. Joining me on the call today are Mike Simonte, AAM's president; and Chris May, AAM's Vice President and Chief Financial Officer. To begin my comments today, I will provide some remarks today on AAM's second quarter financial results, which were adversely impacted by extending global production shutdowns resulting from the COVID-19 pandemic. AAM sales were $515 million for the second quarter of 2020 as compared to $1.7 billion in the second quarter of 2019. The decrease in our revenues on a year-over-year basis reflects primarily two factors. The first relates to the global production shutdowns and reduction in consumer demand due to the COVID-19 pandemic. We estimate that this had an unfavorable impact of approximately $947 million in the second quarter of 2020. In addition, our second quarter 2019 sales included $171 million related to our U.S. iron casting operations. This business was sold in December of 2019, and is therefore no longer part of our sales base in 2020. Adjusted EBITDA for the second quarter of 2020was at a loss of $52.1 million, this compared to an adjusted EBITDA $266 million in the second quarter of 2019. Our second quarter adjusted EBITDA was down significantly a year-over-year basis primarily as a result of the unfavorable impacts associated with COVID-19 estimated at $299 million. In addition, our second quarter of 2019 adjusted EBITDA included$17 million related to our U.S. iron casting operations. On the upside, we realized the benefit of the cost reduction actions that we initiated in response to the much lower expected sales due to the pandemic, as well as lower launch costs. Adjusted loss per share for the second quarter of 2020 was $1.79 as compared to an adjusted earnings per share of $0.55 in the second quarter of 2019. From a cash flow perspective, adjusted free cash flow was a use of $161.8 million. This was expected result given the production shutdowns that occurred in the first half of 2020. While the second quarter financial results reflect some of the most difficult challenges we have faced today at AAM. I believe our second quarter performance also highlighted the resiliency of our company, the flexibility of our operations and our ability to quickly adjust our cost structure. Despite all the challenges we face in the second quarter of 2020, we also accomplished several important highlights in the quarter. AAM was named GM Supplier of the Year for the fourth year in a row. A great accomplishment and special recognition from our largest customer. During the quarter we also issued new unsecured debt at a favorable interest rate in order to refinance our most significant near-term maturity and strengthen our debt maturity profile. And finally, we launched our first e-drive program in China at a Liuzhou AAM joint venture supporting the new Baojun E300 Plus program. While this was an unprecedented quarter for the global economy, the industry and AAM. We took this as an opportunity to adjust our operations, structurally reduce our costs, and strengthen our financial profile. Most importantly, we have taken the necessary steps and actions to adjust our global operating procedures to further promote the health and safety of our 20,000 associates worldwide in the midst of the COVID-19 pandemic. With the stabilization of our China operations and a ramp up over European and North American operations, we are optimistic about our ability to generate operating profits and positive free cash flow in this new market environment. Well, things are not back to normal. Our global operating team has done an outstanding job of adjusting and adapting to change while staying focused and disciplined to delivering power principles that guide AAM associates each and every day. While we have seen positive developments recently there is still a significant amount of uncertainty that exists as it relates to the COVID-19 pandemic and its continued impact on consumer demand and light vehicle production levels. And as a result we are refraining from updating our previously withdrawn 2020 financial outlook. As we continue to ramp up production adjust our business to the new market demand in the second half of 2020. We are focused on the health and safety of our associates, supporting customer production schedules and launches, utilizing our operational excellence to generate positive financial performance and investing in our future. And we navigate through the numerous challenges this year as presented, we are also focused on positioning AAM for successful future beyond 2020, and a high del compression of our environment, we expect to be lower than what we ever experienced in the last several years. We are taking action to right size and realign this business to be financially successful in a US$14 million environment. As a benefit of our research and actions begin to take hold we are confident in our earning power and free cash flow generation potential. During this unprecedented times, we are also dealing with significant and disruptive change. At AAM, we are dedicated to not just getting back to normal, but to come out of these challenging times as a stronger leaner company position for possible growth and financial success. Before I hand it over, Chris, let me reiterate some key takeaways. First, despite the unanticipated severe drop in production volumes, AAM performed well in the first half of the year, and made the necessary adjustments to the business to reduce costs, and conserve cash. Second, we see the potential for a solid second half of the year and expect our operating performance to drive profit levels and free cash flow generation. Third, AAM is restructuring the business to drive our earnings power and free cash flow generation at a 14 million unit desired level and we are confident in our ability to achieve this. Fourth, our recent financial transactions that provided AAM with increased financial flexibility and lengthening our debt maturity profile, giving us an even longer financial runway to operate and work with. And lastly, despite all the near-term challenges, we continue to be focused on properly growing our business as addressing the key trends within the automotive industry, namely electrification. This concludes my prepared comments for this morning. I thank everyone for your time attention today. And for your continued interest in AAM. Now let me turn the call over to Chris May. Chris.
Christopher May: Thank you, David, and your morning everyone. I will cover the financial details of our second quarter of 2020 results with you today. I will also refer to the earnings slide deck as part of my prepared comments. So let's go ahead and start with sales. Sales in the second quarter of 2020 were $515 million compared to $1.7 billion in the second quarter of 2019. Slide 5, it was a walk down of second quarter of 2019 sales to second quarter 2020 sales. First, we stepped down our second quarter 2019 sales by 171 million, to reflect the sale of the U.S. casting business unit that was completed in December of 2019. We have to make the impact of COVID-19 ruined production shutdowns and reductions across the globe in the second quarter of 2020 was 947 million. These reductions impacted us at nearly every manufacturing facility across our global footprint. Other volume mix down $40 million a year-over-year, and we also continue to see the trend of lower year-over-year metal market tests replacing in foreign currency in the second quarter of 2020, resulting in a decrease in sales of $31 million. Now let's move on to profitability. Adjusted EBITDA was a loss of $52 million in the second quarter of 2020, this compares to earnings of $266 million in the second quarter of 2019. You can see a year-over-year walk downs of adjusted EBITDA on Slide six. The first half and our EBITDA - similar to sales to back up the second quarter 2019 U.S. casting EBITDA which provide a nimble figure after the sale of U.S. casting business. The estimated impact of COVID-19 related production shutdowns on adjusted EBITDA was $299 million representing the detrimental margins approximately 32%. As we discussed on our last earnings call, we expect the detrimental margins related to the COVID-19 should be slightly higher in the second quarter in the first quarter. There was a greater impact on North American operations, especially in the full size truck programs we support. Excluding the impact of COVID-19 we were favorably impacted by volumes mix - unfavorably impacted volume mix by $19 million and we have spent $7 million on year-over-year pricing. We spent $6 million in COVID-19, inefficiency and service costs, which represent costs for PPE, additional cleaning and disinfecting and other costs related to operating adjustments. We made in response to COVID-19 shut down and ramp-up. As David mentioned, the team has been very focused on cost reductions. You can see the impact of these actions in $22 million year-over-year savings. This includes actions such as temporary wage reductions, permanent headcount adjustments and reduced discretionary spending. This puts us in line to meet our $60 million cost reduction savings target expect to achieve this year. And we also saw continued improvement in lower launch costs and performance of about six million in the second quarter of 2020 compared to 2019. All things considered, AAM team did a good job flexing our variable cost structure, reducing discretionary spending and running operations effectively in a very uncertain and volatile production environment. Let's take a look at our SG&A expense. SG&A including R&D in the second quarter of 2020 $73.8 million, this compares to $91.3 million in the second quarter of 2019. R&D spending for the second quarter of 2020 was $32 million, compared to $33 million in the second quarter of 2019. The reduction in SG&A reflects a portion of our cost reduction activities and excluding R&D reflects a reduction of nearly 28%. R&D was essentially flat as we continue to invest in key advanced technology initiatives in our upcoming electrification launches. Now, let me cover interest in taxes. Net interest expense in the second quarter of 2020 was approximately $52 million compared to $56 million in the second quarter of 2019. Income tax was a benefit of $43.9 million in the second quarter of 2020, as compared to expense of $6 million in the second quarter of 2019. During the quarter we began to realize evaluation allowance against our differed tax assets related to U.S. interest expense carry forwards. As a result, we experienced a lower tax benefits in the second quarter. Going forward, we expect our effective income tax rate for book purposes to be closer to 25%. Would you not expect to see impact of projected cash tax payments in the foreseeable future. Taking all of these sales and cost drivers into account, GAAP net loss was $213.2 million or $1.18 per share in the second quarter of 2020 compared to net income of $52.5 million or $0.45 per share in the second quarter of 2019. Adjusted loss per share was $1.79 per share in the second quarter of 2020 compared to earnings and $0.55 per share in the second quarter of 2019. Let's now move on to cash flow and the balance sheet. We define free cash flow to be net cash provided by operating activities, less capital expenditures, net proceeds received from the sale of property plant equipment.AAM defines adjusted free cash flow to be free cash flow excluding impact of cash payments for restructuring and acquisition related costs. Net cash used in operating activities in the second quarter of 2020 was $142.5 million. Capital spending net of proceeds from the sal3 property plant equipment is $35 million in the second quarter of 2020. This is a year-over-year reduction of nearly 70%. Cash payments for restructuring and acquisition related costs for the second quarter of 2020 were $15.7 million. Reflecting these activities, AAM's adjusted free cash flow in the second quarter of 2020 was the use of $162 million. This cash flow use reflects the impact of our operations being shut down for the better part of the quarter. The net working capital impact for the quarter was relatively neutral as the working capital benefits in the first half of the second quarter were used during the ramp up from our operations and the back half of the quarter. Also like our operating and SG&A and cost controls, we moved quickly on targeted capital spending reductions to help mitigate the impact in the second quarter. We also took action in the second quarter to strengthen our financial profile. At the beginning of the quarter, we amended our existing credit facility to revise financial maintenance covenants to provide additional flexibility for AAM, as we adjust our business for the estimated impact of COVID-19 on current and future global light vehicle production. Later in the quarter, we took advantage of favorable market conditions to issue an eight year unsecured notes and six and seven eight percent. Using these proceeds to refinance our senior notes due in 2022. After payment on the 2022 notes in mid-July, we do not in any significant debt maturities until 2024. We also paid down a portion of the revolver that we do on during the quarter. Liquidity at the end of June was over one $1.6 billion consisting of available cash volume capacity on AAM's global facilities. Refactoring in the payment we made in July to redeem the 2022 notes, we would still have nearly $1.3 billion of liquidity at June 30th. While we are not providing formal guidance today, we thought it if was important to show some trends we are seeing. As a reference we included our breakeven scenario from our maintenance call in your slide deck appendix. That scenario is based on an assumed reduction of AAM sales by 25% to 30% as compared to what we expected for the full-year at the beginning of this year. In relation to the sales midpoint of our breakeven scenario, we are seeing trends based on third-party estimates, customer schedule and other inputs. We see production volumes in North America are better Europe, very similar, China better and India and Brazil see well below that estimate. In addition we are confident in our ability to deliver both the $60 million cost reduction savings, and a previously disclosed cash figure at $250 million for the full-year of 2020. Lastly, we initially estimated approximately $40 million of COVID-19 startup in supplier and efficiency costs we are now estimating those expenses in the $30 million to $40 million range. Uncertainly in demand, production schedules in the supply chain remained, and can impact any of these assumptions and trends. Despite all the uncertainty that exists, we are cautiously optimistic on the second half of 2020. Based on the demand indicators I just covered for the key product and support. We see our customers prioritizing full size truck, SUV and crossover vehicle production. Loan dealer inventory levels continue to suggest pent up demand and supports current production levels, and we take that as a positive as well. Ultimately, end consumers continue to demand the vehicles on which we supply through systems and components, and that was a good thing for AAM. And as we manage the business for today we are also setting up well for future profitable growth. For example, we continue to invest in our electrification initiatives and we launched our first China e-drive program during the quarter. Investing in here is profitable growth for AAM is at query that we will continue to see. We are moving towards actions to set up AAM for an even stronger future. We are excited for the potential of our future earnings capability and free cash flow generation. I thank you for your time and participation on the call today. I'm going to turn it back over to Jason so we can start the Q&A. Jason.
Jason Parsons: Thank you Chris and David. We have preserved some time to take questions. I would ask you to please limit your questions to no more than two. So at this time please feel free to proceed with any questions you may have.
Operator: [Operator Instructions] The first question today comes from John Murphy of Bank of America. Please go ahead.
Annie Smith: Good morning guys. This is Annie Smith on for John. Good morning. First question on the balance sheet, almost $900 million in cash appears pretty sufficient to weather through the current crisis as we think about the back half of the year and cash burn. Reversing as volume comes back and then look forward into next year presuming things continue to recover and cash flow improves. Can you remind us what you feel comfortable with in terms of a minimum cash level above which you would look to direct capital towards delivering.
Christopher May: Sure. Good morning, this is Chris May. First, I would remind you that balances as of June also contains the proceeds from the no issuance that we had in the back half of June, and 350 million of that was deployed in July to redeem those notes. Obviously, in a break even scenario, the back half would imply a positive free cash flow generation, we would clear up the remaining items in terms of priority remaining open items in terms of our revolver. And as we have previously communicated, obviously, funding our organic growth and our R&D initiatives is a top priority for us and reducing and continuing to reduce our gross debt leverage on the company.
Annie Smith: Okay. That is helpful. And then a bit more of a longer term strategic question. There has been a lot of hype more recently around electrification, particularly for light and commercial trucks. However, amongst some of the incumbent automakers, there also appears to be a push strategically to emphasize or actually even introduce new ICE body on food trucks in their product portfolios. Do you see any burgeoning opportunity for the industry and for Axle from expansion of this high margin segment, and any discussion or bidding on future programs that you may be involved in?
David Dauch: This is David Dauch speaking. First of all, electrification here is only going to grow as it relates to the penetration in the market. You understand the various segments you are talking specifically to the pickup truck side of things. There is obviously a number of new entrants that are coming into that market with their lifestyle leisure type vehicles. I also expect the Detroit three will do as required to protect their market share on the truck side of things, whether it is ICE engine based or electrification base. As we are a leading provider of driveline systems for the ICE engine base, we have also been investing heavily in electrification since the 2010 period of time. We have won three contracts now, which we just launched one in China recently, and we continue to position ourselves to provide product offerings for all the vehicle segments that support to the different regions of the world. So, we are actively working on truck electrification activities. We are working on crossover vehicle electric verification activities, as well as travel drive passenger car, we have been successful in the market today, we expect our more opportunities to present themselves will win our fair share. At the same time, we obviously have going to have to make some decisions, how much of the work will they do themselves internally, but at the same time, we feel very comfortable about competing in regards to the marketplace and what we need to do to win our fair share of the business. And at the same time, I still am a strong believer that the ICE engine will be around. We are continuing to grow our business and the ICE engine time. And I think with this COVID activity, it is going to force both the OEMs as well as consumers to assess the value proposition associated with the different technologies. But I still think you are going to continue to see investments by the OEMs especially in the area, the autonomous connected electric and shared, it just may be a little bit delayed in some cases by select OEMs. And other cases are moving forward and protecting their plants. Hopefully that addressed your question.
Annie Smith: Yes. That is helpful commentary. Thanks for the question.
David Dauch: Yes.
Operator: Our next question comes from Rod Lache of Wolfe Research. Please go ahead.
Rod Lache: Good morning everyone. There is a lot of puts and takes, since you look out for Q3 and Q4 between the strength and troughs that you are seeing and some weakness in some certain passenger cars and cross over's the Thailand to business getting lock down. Just a lot of stuff just some in sourcing. I was hoping you might just talk a little bit more about the outlook and specifically, how that affects the incremental margins that we will see, which is like blend of all these things moving around, maybe relative to the 32% that you saw here in the quarter, the 33% of your scenario. Do you think it gets better? And then how do we think about the incrementals as business recovers, hopefully next year?
Christopher May: Yes good morning Rod, this is Chris. I think in terms of thinking about the back half of the year, maybe a couple perspectives, first, maybe on sales, which would probably tie in with some of the commentary you made as part of your question. And then some thoughts on profitability associated with the movement of some of these pieces. Certainly from a sales perspective, if we think sort of pre-COVID type of activity. You did mention the Thailand operations for us did see at the end of the second quarter, that is approximately $20 million per quarter sales headwind, if you will. And then the other large pieces we are converting to the new General Motors SUV full-sized truck, which as we disclosed previously in year that would be from a sales dollar perspective has a different architecture, which impacts us related to the items that we talked about coming into the year. This is probably your main from a sales perspective, in terms of secondhand versus sort of a normal run-rate. From an income perspective, obviously we would generate additional profitability on the net sales change for the company. And you saw our detrimental in the first quarter, sort of in that 28% range. You saw the second quarter sort of in the 32we saw a little bit higher, when impact it was on the GM strike impacting the back half of 2019. But, from a planning perspective, we are seeing sort of plus or minus - just holistically and core sales momentum kind of plus or minus right around that 30%. Now that said, we will continue our restructuring activities in the back half of the year where you saw it is performing or $20 million a quarter, of that is $60 million run-rate here in the second quarter. I would expect that to continue that pace into the back half of the year. I do expect to have some costs associated with COVID-19. And we talked about that between $30 million to $40 million for the full-year. You saw its impacted$6 million in the second quarter, as our operations sort of came online and sort of the back half of that quarter. A little bit, maybe better than originally we thought 90 days to go. And obviously balancing our R&D and SG&A in terms of all cost structure activity. So hopefully that provide a little context and color in terms of your question.
Rod Lache: Yes, that is very helpful. And just secondly, looks like you are not really significantly pulling back on R&D, but you are on the SG&A sides. Are there any kind of long-term consequences that you are anticipating from the posture that you are taking just relative to spending?
David Dauch: Rob, this is David. We do not say the long-term consequences with some of the restructuring actions that we are taking now. We are fully dedicated and committed to supporting continued growth in the electrification space and invested in that product portfolio. At the same time, in our conventional products we had a complete portfolio already. So we feel very good about where we are. We are just reprioritize or redirecting, and that same time cutting costs where appropriate. I don't think it will have a lasting effect on us going forward.
Rod Lache: Okay, alright. Thank you.
David Dauch: Thank you.
Operator: The next question comes from Ryan Brinkman with JPMorgan. Please go ahead.
Ryan Brinkman: Great. Thanks for taking my question. Firstly, just how should we think about detrimental margin trends for the remainder of the year relative to I think 27% in 2Q. Should it continue to moderate just given the outlook for less severe industry production declines and restructuring actions are more fully filter. How should we think about that?
Christopher May: Yes Ryan, this is Chris. Our core kind of movement of our product, we are sort of in that plus or minus right around that 30% range. Obviously, we continue to drive some of our restructuring activity, that should benefit some of that a little bit as well as some offset from some of the COVID costs that we articulated in some of my prepared remarks.
Ryan Brinkman: Great, thanks. And then I saw that announcement relative to the electric drive unit for Baojun. Are you able to provide an update with regard to your conversations with OEMs around electrification? And generally, do you think that Corona Virus speeds up slows down or has no impact on electrification? I think there are some thought that disruption from the virus generally speeds up any previously existing transformational trends such as we have seen in retail or other industries, but just curious how you are thinking about balancing that against, I don't know, if automakers may look to delay launches to try to conserve capital or now lower oil and gas prices, et cetera?
David Dauch: Ryan this is David. Clearly there is an interest by the consumer to support alternate propulsion systems, mainly electrification, but also hybrids. As I said before, we just want to be agnostic to the market, make sure that we have product offerings from an ICE engine standpoint, hybrid standpoint and electrification standpoint, as it relates to the OEMs themselves, I think it is going to vary by OEM. Some are clearly cutting back on some of their electrification spending, while others are maintaining or actually even maybe putting in additional investments into that. So I think it is going to vary. I think a lot of it will be dependent upon government regulations in each of the various countries or regions that we operate in. And also the incentive spending and the infrastructure that gets put in place to support it. Regardless of what the OEM is doing on the consumer receptivity to it, all we want to do is make sure that we have got product offerings to support the market shift further or stronger in the electrification space.
Ryan Brinkman: Okay, that is helpful. Thank you.
Operator: The next question is from Brian Johnson of Barclays. Please go ahead.
Unidentified Analyst: Hi, team. This is [indiscernible] on for Brian. I really just kind of had one question. If we could revisit the downside protection playbook that you introduced last quarter, trying to address a $14 million, which I know is a long way down but it sounds like a North America OE also sort of calibrating inventories at this point. I just wanted to try to understand the level of competence and being able to get the organization not only profitable enough but versus historical metrics at that level but also profitable enough either to generate enough can cash flow generated enough to support the debt load. And if there would need to be a debt restructuring or recapitalization of some sort at a $14 million units are level?
David Dauch: This is David Dauch speaking. We are highly confident in our ability to restructure our business that 14 million unit SAR level. We want buy in to be our friend in the future. So we are taking the necessary actions that we need to in order to realign our business to the new market demand. And we have been very clear in regards, what our downside protection playbook is and the elements that make that up. We have essentially exercised every one of the elements that we outlined in the presentation to you all, obviously, massive reductions in regards to headcount for salaried and hourly. We have also worked in regards of plant loading and plant consolidation where appropriate. We will continue to assess those matters as we see how the market ultimately settled out. But clearly the global volumes have dropped from 90 million to approximately 70 million in the U.S. travel over 17 million downloads, level were 12 this year, and then on the second half of the year, we expect to be at 14 plus. That is why we lined ourselves up at 14. If we need to make further adjustments to our cost structure, then we will do that. But it is all with the effort of, again, focus on generating that profitable growth in supporting that operating financial performance that will allow us to service the debt going forward. As you all know, we have been a large positive free cash flow generator, we are using that to support our debt reduction and strengthen our overall balance sheet financial performance. And I don't see is changing any of that going forward. Clearly the only thing that we have got to watch and monitor is just sales and then making sure that we can adjust our business accordingly. But I don't see us with any recapitalization at this point in time in our plans. Chris, do you want any other comments.
Christopher May: No, as you phrase and you heard David's comments, aligning a very profitable organization at that level of SAR. So, as production level, producing CapEx, will not just generate meaningful cash flow and surface of our debt as well as all the needs of the organization.
Unidentified Analyst: Fair. It is a very helpful color but is there any sort of minimum EBITDA or free cash flow target that investors could think about in a 14 million SAR level?
Christopher May: No I mean obviously, we continue to perform a top tier EBITDA margin profile, I would expect that to continue for the company and will continue to generate meaningful cash flow as a company.
David Dauch: And we are not giving any guidance for the balance of this year. But you understand how we performed in the past volumes there. And with our cost structure being adjusted, it should set us up to perform very well in the future.
Christopher May: Yes. Keep in mind we have articulated in terms of our capacities, reducing that to 5% or below EBITDA levels in the foreseeable future, so they don't play very well to our cash flow profile.
Unidentified Analyst: Thank you.
Operator: The next question is from Dan Levy of Credit Suisse. Please go ahead.
Dan Levy: Hey god morning. Thank you for taking the question. I wanted to just start by asking on [GM T1] (Ph) I want to ask to what volume probably are saving for a year for the balance here. But could you just give us a sense of what type of contribution margin fee we might expect on the GM business given they are going all out and they're going to see that every unit they can? Should we expect similar contribution margin to what you have done in a high 20% or low 30% region. And I guess I would asked that question is specific to 4Q. When we are going to see a very large year-on-year increasing to Q1, I think it is something like 30% plus. So just any commentary on the contribution margin there?
Christopher May: Yes, Dan you have heard me articulate in some of the previous questions, sort of corporate planning around that 30% of these movements, you start out a little higher, especially if you think back to our GM work stoppage back in the fall last year, we saw a little bit more overweight of the truck on that standpoint. But that is specific to the truck. But now you are seeing and typically, we have a little bit higher contribution margin on that profile for full size truck platforms. When we look at it in the entirety of the business, you have to blend it out with everything in especially light of the circumstances where you are moving a large population of sales up and down, just not the truck.
Dan Levy: Okay, and in the fourth quarter, an outsize amount of sub production. That is that doesn't mean that step profile sounds like that is in line. Is that correct?
Christopher May: Yes, that is correct.
Dan Levy: Okay. Second, just a question on electrification and - you know the news on the Baojun E300 so you have announced it. But could you just give us a sense of exactly what content you are doing in house on that. What you might be outsourcing being it motors or power electronics. And just what the broader set of discussions or quoting that you are having with customers and what are they asking of you in ED? Is it for a full E-Drive solution, is it for components? Just wondering if you know how that might be shifting, if at all?
David Dauch: David Dauch speaking. Our strategy from electrification standpoint is to address the customer needs that range anywhere from a component state. So, I think gears and shafts to sub assembly states that include differentials to gearboxes to fully integrated, three in one type solutions that involve motors and inverters as well. From a product portfolio standpoint, as we have identified in the past. We have got all the mechanical side of things as far as the years, the shafts, the differential, the gearbox capability. We have all the controls the software capability, we got the integration capabilities. What we lack right now internally within AAM, but we have partnerships that support us, our motors and inverters. And we are not sitting still in those areas. At the same time, we are leveraging the relationships either guided by the OEM, for partners for us to work with or partners that we have developed independently on our own. We are continuing to evaluate what else we need to do in those arenas. At the same time, we have a number of innovation initiatives that we are working on ourselves internally to further promote and optimize the performance of those three and one type solutions that the OEMs are looking for. When it comes to the OEMs themselves in the regions. I would say, the folks in China tend to ask for more complete solutions, form gearboxes to complete solutions, including integration of the vehicle. When it comes to the Western OEMs, they tend to do the integration themselves. And there is a variance between the OEMs based on some are looking to do the three in one solutions themselves, or others are looking for complete solutions. So we just need to manage it at that. But we have got a full depth and breadth of capability from a portfolio standpoint, from components to start the assembly to final assembly with the engineering and aptitude to support the integration and control of software that is vital to support electrification. And then that that set up with our operational excellence and performance. We feel we are very well positioned to capitalize in the marketplace.
Dan Levy: Okay, that is really helpful color. If I could just get a follow-up on that. Is that in terms of the OEMs looking at, it sounds like they are looking at a broad set of solutions and it depends on the region in which customer you are talking to. But in-sourcing versus outsourcing, is that still no shift there. And you will have some that are looking to do more in house some that are looking to house there is more no broad shift in the amount looking to outsource or the amount looking to in-source.
David Dauch: So we haven't seen any change in their behavior from what we were seeing before. So it is going to be a mixed bag in regards to some OEMs will outsource and some are contemplating and has made decisions in source. But no change because of COVID as a result at this time.
Dan Levy: Okay, thank you.
Operator: The next question comes from Armintas Sinkevicius of Morgan Stanley. Please go ahead.
Armintas Sinkevicius: Good morning. Just trying to think through second quarter, obviously production was shut down for several months here. But as production started to pick up the OEMs have emphasized trust which is beneficial. Can you just trying to think through what sort of a lift you got in the second quarter? And how we should think about that potentially normalizing into the third as they expand their production into other product sets.
David Dauch: This is David, I will talk first and Chris can comment on the other side of things. As you said, first of all, we focus on the health and safety of our associates as they came back to work. They received our powering up safety protocols very well. We haven't had any major disruption in any of our facilities. So that is been positive. We have been working in close concert with the OEMs in regards to their production schedules and their launches. Clearly, they prioritize trucks, SUVs and crossovers as their priorities that positions, that sits well for us based on how we are positioned. They are focused on their profit pools, which will also help drive our profit tools going forward. We haven't seen - the balance of the business that being crossover vehicles or commercial vehicle, we are just supporting the demand that is out there, which just Chris covered in his earlier comments is lower than where we were operating before, and we will see how that recovers. But overall, we feel very good about the customer schedules. We understand there is a pent-up demand for our product when you look at the average age of the vehicle, approaching 12-years is going to continue to emphasize that pent-up demand. Obviously GM is still looking to rebuild inventory from the strike that they had earlier. And that positions us very well to capitalize and benefit from that also. So, Chris, I don't know if there is anything you want to add to that.
Christopher May: No, I mean you right on in terms of the prioritization of trucks we experienced in the second quarter, we saw them emphasizing that more mid quarter and trying to bring on that early, more than the rest of our products have good start to come on the back half of June and into July.
Armintas Sinkevicius: Okay. And then my other question on Mexico, the plants opened up earlier than expected business with how you are thinking about David. What do you think on Mexico with regards to how operations are today and the supply chain there?
David Dauch: Yes, clearly Mexico's running, eight to 10 weeks behind the U.S. as relates to management and COVID activity. So we are keeping a watchful eye on that as the whole industry. Clearly the industry is only as strong as the value chain. And there is a sizable amount of suppliers that ship product either within Mexico or out of Mexico, back to the U.S. Right now, from an overall standpoint, we have got very few supplier issues. We definitely have a couple that we are managing, but nothing that we see jeopardizing production. There is clearly certain regions within Mexico as Presidents managing, the health and safety within that country, which are things that we need to watch. As far as the areas that we are operating in right now, we are able to function we are able to operate. But that could changed in a minute depending on if there is a big outbreak. So we are comparing and looking at alternative plans in the event that we had to shut some things down, but our priority is to make sure that we can protect health and safety of our associates first, and protect the schedules and the launches of our customers going forward. And do that with the support from our supply base or alternate supply maintenance required.
Armintas Sinkevicius: Great. Appreciate it thank you for taking the question.
Christopher May: Thank you.
Operator: The next question comes from James Picariello of KeyBanc. Please go ahead.
James Picariello: Can you quantify or put any parameters on what that change in GM architecture impacted relative to your original expectations, as we think about the second half?
Christopher May: Yes. Well I think converting from - rear Axle on that platform to an independent rear suspension. So you do lose tubes and breaks, so on and so forth. But if you think about sort of pre-COVID our guide stepping into the year and this was sort of the final phase of the GM truck transition. And we expected our revenues holistically on that platform, the T1 platform that is to be down 10 million or 25 million coming into the year, but both of that related to the SUV architecture change sort of running at a full-year. So that was sort of articulate kind of on a quarterly basis, with the point of practice.
James Picariello: Yes. Okay. Was your Thailand business profitable when factoring that 20 million at quarter revenue loss and it was definitely captured in the quarter?
Christopher May: No I men our Thailand business is profitable, do you mean prior to the shutdown, yes it was profitable business.
James Picariello: Right, so yes, just saying as we take out the 20 million a quarter. I was just wondering what -.
Christopher May: When you think about it is similarly corporate average. I think it is two platform for in Southeast Asia.
James Picariello: Got it. Okay, as we think about actual liquidity, just under 1.7 billion this quarter. Would you expect to finish the third quarter at a similar level. I believe you indicated you expect positive second half free cash flow. So, I guess I'm just trying to get a sense for maybe 3Q versus 4Q cadence.
Christopher May: It will really take 350 million of our redemption out of that liquidity number, right. So, you are carrying the proceeds of our June bond issuance in the quarter end numbers. So, that comes out in the third quarter as we redeem those notes. And then the balance of your liquidity will change based on our free cash flow profile.
James Picariello: And would you do expect the second half free cash flow to be positive?
Christopher May: If we are cheap, breakeven or better, yes, it would have to be correct, we are negative - yes.
James Picariello: Thanks guys.
Operator: Thank you gentlemen. Your last question comes from Joseph Spak with RBC Capital Markets.
Joseph Spak: Thanks good morning everyone. David the Baojun E300, I think that is probably I know you have been for a while talking about the three election program. So, let me just enter the third. Maybe you could talk a little bit more what you see in the pipeline, if there is any more programs on the horizon, but also that Baojun is clearly a different vehicle than then, the vehicles you have been on, historically, and even different for the Axel product, or I think the others were sort of a more, SUV type vehicle. So, how does the CPV of that Baojun program compared to maybe the other actual offerings?
David Dauch: Yes, Joe, this is our value brand opportunity. So, the content per vehicle on this product is much lower than the like we are doing on the Jaguar or Land Rover IPS program. As you know the IPS program, we are well over the $2,025 range. This is much lower than that, so I think more component and gearbox type related activity here. So, it is going to be at a much lower end of the range that we do before. but a very important entry into that market which is a value driven market and we start to see incremental opportunities present themselves as a result of this.
Michael Simonte: And Joe this is Mike. When we think about the concept for vehicle available in this market segment, a segment that AAM has historically had much opportunity to play in the front wheel drive passenger car based vehicles. So, for us, even though the content opportunities relatively small compared to light trucks and crossover vehicles and everything, this is valuable growth for us because this is kind of questing a portion of the market where we didn't really play.
Joseph Spak: Okay. Fair enough. Maybe a second question. We have seen some of your sort of other Axel competitors make. I guess the best thing I would term it I guess is software related hires to gain more engineering competency for electrification systems. And granted a lot of those have been more I think, on the commercial vehicle off highway side. But I was curious because that is something AUM has been evaluating whether it is something you need to do, are you comfortable with your organic engineering and organic engineering spend?
David Dauch: Combination, we are very comfortable with the engineering resources that we have today. Especially as we have invested over the last several years on software controls engineers, which will lend itself and support electrification going forward. We are very comfortable to partners that we have in place today and clearly have been able to offer the customers value proposition for their new sources business, but our job is to continue to enhance that cost performance while advancing to technology and strengthen that value proposition. Over time, I think we would like to control more of that ourselves. But we have no problem working in technical partnerships, joint ventures, or just a customer supplier relationship as long as we can deliver those value propositions to our customers. And right now we have been able to demonstrate that and be successful in not only winning new business but launching a new business. And as you know, we are our second electrification program we launched in next year, that is very unique, high performance, passenger car. That is got multiple variants off of that. And then we have got a pipeline of other opportunities that span to all the different side of thing that we support in the marketplace today.
Joseph Spak: Okay. Thank you very much.
David Dauch: Thank you.
Christopher May: Thanks Joe.
Jason Parsons: Thanks, Joe. And we thank all who have participated on this call. And appreciate your interest in AAM. We do look forward to talking with you in the future.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.